Operator: Ladies and gentlemen, welcome to the HOCHTIEF Half Year 2025 Results Conference Call. I'm Moritz, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Mike Pinkney. Please go ahead, sir.
Michael Pinkney: Thanks, operator. Good afternoon, everyone, and thanks very much for joining this HOCHTIEF first half '25 results call. I'm Mike Pinkney, Head of Capital Markets Strategy, and I'm here with our CEO, Juan Santamaria, and our CFO, Christa Andresky, as well as the Head of IR, Tobias Loskamp, and other colleagues from the senior management team of HOCHTIEF. We're looking forward to your questions. But to start off with, as is traditional, our CEO will run us through the details of another strong set of HOCHTIEF numbers and provide you with an update on the group strategy. Juan, all yours.
Juan Santamaria Cases: Thank you, Mike and the team, and welcome to everyone joining us for the results call. HOCHTIEF has delivered an excellent performance during the first 6 months of 2025 with significant growth in revenues, profits and orders as well as a solid cash flow result. In addition to achieving a strong financial performance during the period, we have made further important progress on the strategic front. We are increasingly harnessing our geographic footprint and engineering know-how on a group-wide basis to achieve additional growth and value creation for all our stakeholders as we continue to deliver on HOCHTIEF's group strategy. And our growth trajectory is supported by a solid balance sheet, a strong order book and a strongly cash-generative business. So let me give you an overview of the key highlights of HOCHTIEF's performance during the first 6 months of the year. The group has seen an acceleration in its top line. Group sales increased by 25% year-on-year to EUR 18.4 billion or 29% FX-adjusted. This is mainly driven by strong organic revenue growth and was accompanied by solid margins. Operational net profit rose by 18% to EUR 355 million, at the top end of our guidance range for 2025 of an increase of up to 17%. And if we adjust for ForEx headwinds, the underlying profit growth rate was even higher at 22%. Nominal net profit of EUR 481 million includes net EUR 126 million in one-off gains, mainly reflecting the noncash Q1 2025 Flatiron revaluation impact. The quality of our profits is underlined by a solid cash generation performance. Looking at cash flow during the last 12 months, the strong performance is driven by a sustained high level of cash conversion with net operating cash flow of EUR 1.3 billion. The first half of the year incorporates the characteristic impact of seasonality during the first quarter but shows an increase in net operating cash flow year-on-year adjusted for factoring. The movement in the group's net debt position since December 2024 was driven by strategic investment decisions and their consolidation effects as well as FX impacts. Considering the last 12 months and adjusting for capital allocation, dividends and FX, net cash would show a strong EUR 1 billion year-on-year increase. The new orders level of EUR 26.1 billion represents a very substantial rise of 26% year-on-year, adjusted for FX movements, with all operating segments reporting increases. New work includes important project wins in our strategic growth markets such as data centers, critical metals, energy as well as other core infrastructure markets. At the end of June 2025, the group's order book stood at EUR 69 billion, up by 15% year-on-year FX-adjusted. Let's take a brief look at our performance at the segment level. In terms of order growth, and indeed, other metrics, Turner has had another standout performance. Very strong sales growth of 41% to EUR 12.2 billion was organically driven 37% FX-adjusted, with operational PBT nearly 60% higher at EUR 392 million. This remarkable rise in profit was also a consequence of the positive margin evolution, which increased by 30 basis points at PBT level to 3.2%, driven by Turner's successful strategy of focusing on advanced technology projects. New orders were another highlight with a 23% rise to EUR 16 billion, including a doubling in the level of data center work. We expect Turner will continue its strong growth driven by, firstly, its strong position in advanced tech, including rapidly expanding data center market globally with Dornan growing in Europe. Secondly, further margin progression as the share of advanced tech projects still increases and aided by SourceBlue's supply chain services offering. And thirdly, a structural long-term growth in several of its key markets, such as healthcare, education, airports and sports stadiums, reaffirm our guidance of EUR 660 million to EUR 750 million operational PBT for Turner in 2025, an increase of between 16% and 32%. Moving on to CIMIC. Revenues were stable adjusting for the timing effects of the Thiess consolidation since Q2 2024. The business achieved solid growth in strategic market segments, particularly across the data center, social infrastructure and energy transition markets, offsetting the winding down of large transport projects. Operational PBT was 4% higher on a comparable basis at EUR 232 million. Cash flow exhibits the effects of seasonality, the ongoing working capital profile adjustment and higher factoring during the first half of '24. On a comparable basis and adjusting for factoring variations, net operating cash flow shows EUR 101 million improvement year-on-year. CIMIC ended the period with a robust order backlog of EUR 23.2 billion, which is 5% higher year-on-year on an FX-adjusted basis. Operational PBT guidance for CIMIC of EUR 480 million to EUR 510 million implies an increase 7% to 13% for 2025. At our Engineering & Construction segment, sales of EUR 800 million were 14% higher year-on-year on a comparable basis, adjusting for the impact of the deconsolidation of our North American civil business following the FlatironDragados transaction. Operational PBT showed an 18% comparable increase to EUR 40 million and cash flows improved on the same basis. A key highlight here was a strong rise in new orders to EUR 3.4 billion, 64% higher year-on-year. Our Engineering & Construction guidance range for operational PBT in 2024 -- '25 of EUR 85 million to EUR 95 million implies sustained strong growth of up to 24% on a comparable basis. Looking at Abertis, the toll road company continues to perform in a solid manner. Operating revenues rose 6% on a comparable basis to EUR 3 billion, with EBITDA similarly higher at EUR 2.1 billion. Operational net profit pre-PPA of EUR 383 million compares with EUR 402 million in the first half of '24, and includes the adverse French tax impact. The operational contribution to HOCHTIEF for the 6 months period of EUR 36 million include positive second quarter growth. As a consequence of its solid cash flow performance, Abertis distributed a total dividend of EUR 600 million in the second quarter of '25, in line with the previous year. And we anticipate Abertis will deliver a similar operational result in '25 to EUR 81 million of 2024. Let me provide you with an update on HOCHTIEF's strategic development. As a global infrastructure leader, HOCHTIEF's strategic delivery has continued in the first 6 months of '25 against a background of unprecedented multiyear demand for infrastructure investments, driven by the megatrends of digitalization, demographics, defense, deglobalization and demand for energy. From a strategy perspective, the best way to look at the group is on a global sector basis. HOCHTIEF has positioned itself as a leading global digital advanced tech infrastructure and services solution provider to meet strongly rising demand. This is being achieved by expanding our presence in the value chain with our construction and engineering know-how complemented by the group's equity investment and O&M expertise. We are one of the world's leading providers for the development and construction of data centers with around 6 gigawatt of successfully implemented projects. The group's approach combines comprehensive expertise in planning, financing, construction and operation. According to several sources, the global data center CapEx market could grow at close to 20% annually until at least 2030. HOCHTIEF has secured several notable project wins in data centers during the period. Turner has doubled the value of new orders booked, underlining the group's strong presence in this rapidly expanding market. In the Asia Pacific region, the CIMIC joint venture is delivering the first tranche of a multiphase data center development project in Philippines and has recently delivered projects in Malaysia and Singapore whilst in Germany we launched as developers, contractors and operators our fifth edge data center project, this time near Munich. And earlier this week, CoreWeave, the AI Hyperscaler, announced its intent to commit more than $6 billion to equip a new state- of-the-art data center in Pennsylvania, purpose built to power the most cutting-edge AI use cases. This 100-megawatt data center with potential to expand to 300 megawatts represents one of the first large-scale data centers of its kind in the region and will be constructed by our Turner JV. As part of the group’'s broader strategy to establish a pan-European network of sustainable, decentralized edge data centers, HOCHTIEF is looking to expand the businesses into other European countries, including Austria, Switzerland and the UK. We previously created a joint venture Yorizon which enhances HOCHTIEF's YEXIO data center with innovative cloud computing solutions that support digital sovereignty. The first data center will open in Germany this summer and sites for several additional centers are being developed. The group is also advancing in the semiconductor area where strong demand for artificial intelligence and increasing digitalization is boosting investment levels. Global sector sales in this market are expected to reach USD 700 billion in '25 with double-digit growth expectations going forward. Together with the reshoring trend, this is driving a rapid increase in semiconductor-related construction work. This is a strategic growth market for HOCHTIEF, and we are actively analyzing a very sizeable pipeline of potential projects. Recent project awards include a significant construction contract for the expansion of an assembly and test facility for chip lithography machines in the U.S., an important semiconductor project in Malaysia and a semiconductor-related construction facility in Germany using clean-room technology. Another priority for HOCHTIEF is the strategically vital critical metals and natural resources sector, where we have been developing a leading global position in recent years via a combination of organic growth and M&A. Global megatrends are driving strong demand growth for metals such as copper, aluminum and nickel, but also critical new economy and battery minerals, including lithium, cobalt and rare earths. The global metals and mining market currently worth $1.2 trillion is expected to reach over $1.7 trillion by 2033. HOCHTIEF through Sedgman is a leader in engineering for critical minerals and mineral processing with expertise in copper, high-purity alumina, vanadium, lithium, cobalt, rare earths, uranium and nickel. During the period, we have started work on a new innovative critical minerals processing plant in Queensland for vanadium and other rare earth metals and has also been awarded a 5-year gold project contract extension in Western Australia as well as another gold project in the region. These latest awards come in addition to several important projects we're executing in this sector, including a major lithium extraction plant in Germany, the process design and project implementation for a copper-zinc plant in Western Australia, a 3-year nickel and copper full-service mining project in Ontario, Canada, a 4-year contract to deliver underground services at a copper mine in Queensland and the provisions for mineral processing services as part of a major Australian iron ore contract. Furthermore, we're currently working on a number of lithium products in Portugal, Brazil and Canada. In addition to our engineering expertise, HOCHTIEF is also a leader in the natural resources sector via Thiess, which provides a full suite of mining asset and rehabilitation services across Australia, Asia and the Americas. The company is steadily expanding its metal and minerals capabilities via its strategy to continue to diversify its commodity portfolio and geographic footprint as well as expanding its services offering. Last month, Thiess won a AUD 2.3 billion contract extension in Queensland to continue providing full mining services at Lake Vermont where it has been working since 2007. This project win highlights the recurrent nature of the business, which supports Thiess' solid cash generation. Looking forward, Thiess is very well positioned for sustainable growth within the evolving global resources sector. As you will be aware, HOCHTIEF has been a global leader in transport infrastructure and sustainable mobility for several decades. The outlook for the sector is very positive due to several infrastructure stimulus packages in key geographies. In Germany, for instance, the EUR 500 billion infrastructure investment package approved by the Bundestag Parliament offers enormous opportunities to accelerate the modernization of the country. The plan is focused on transport, energy and social sectors, including healthcare, education, R&D and digitalization with EUR 400 billion federal and EUR 100 billion state-level investment. HOCHTIEF is well positioned to benefit due to the scalability of its business model and its core expertise in bridges, tunnels and rail. But even before we see the benefits from this infrastructure investment boost, already during the last few years, other order book for German projects has doubled to over EUR 5.3 billion. During the first 6 months of 2025, HOCHTIEF was awarded a EUR 170 million rail infrastructure contract to modernize a section for Deutsche Bahn as part of the integrated plan to upgrade the country's rail network. A HOCHTIEF joint venture was also recently awarded a major contract for the construction of the second main line of the S-Bahn rail network in Munich. Another significant European transport project win was secured during the second quarter with a Dutch highway project worth initially EUR 1.2 billion. In addition to the planning and construction, the PPP contract also provides for the financing, operation and maintenance of the road until 2051. In North America, a FlatironDragados JV was awarded a $1 billion contract for Long Bridge North rail infrastructure project, which will modernize critical transportation links between Washington, D.C. and Virginia. And in Australia, a CIMIC JV has been selected to build the Logan and Gold Coast Faster Rail project with work scheduled for completion ahead of the Brisbane 2032 Olympics. HOCHTIEF continues to command a leading position in the biopharma, health and education infrastructure sectors. Driven by demographics, including urbanization as well as digitization megatrends, significant structural demand growth for healthcare and education infrastructure is anticipated. HOCHTIEF has a strong record and industry-leading expertise in the healthcare sector, where, for example, in the U.S. Turner renewed its pole position in healthcare, being once again named the #1 construction manager, and the group has delivered award- winning major hospital facilities across the Asia Pacific region. In the first half of '25, CIMIC signed a letter of intent to construct the New Dunedin Hospital Inpatients building in New Zealand. In the education sector, where Turner is a leader, the company is building the College of Veterinary Medicine in South Carolina with completion planned for 2026. And in Germany, HOCHTIEF secured a contract to build a new research building at the University of Duisburg-Essen. Investment in defense is expected to strongly increase in our key markets. HOCHTIEF is well positioned globally for higher defense spending given our sector presence in Europe, U.S. and Australia, supported by our key security credentials. At the end of June, the group had done around EUR 2 billion of defense-related work in its order book. During the period, CIMIC was awarded AUD 370 million contract to upgrade the infrastructure and facilities for the Royal Australian Air Force in Queensland. In the U.S., a FlatironDragados joint venture is leading the construction of a dry dock at Pearl Harbor. The project is part of the U.S. Navy’'s Shipyard Infrastructure Optimization Program to modernize government-owned and operated shipyards. And we are very well placed to participate in major multiyear defense investment plans in Germany with opportunities in defense- related capital works, new or renovation projects in infrastructure buildings, et cetera, and potentially via the PPP model. In energy infrastructure, HOCHTIEF is playing a key role globally. For example, in Australia's energy transition by leveraging our global expertise and local capability and footprint to deliver significant projects. The strong growth is being driven by the increasing demand for energy in general, and in particular, for clean energy. UGL and Sedgman are pioneers in delivering engineering-led integrated solutions for clients in energy, mobility and natural resources. During the period, CIMIC won several contracts to expand electricity infrastructure in Western Australia as well as a major project in the LNG sector. And in Germany, HOCHTIEF Engineering has been awarded a planning contract for 4 high performance onshore 2- gigawatt converter stations, which will be key to bring wind power generated energy to the Ruhr area. Elsewhere, it is worth underlying HOCHTIEF's long-standing leading position in the commercial and general building sectors, including airports, sports stadiums and offices. In the second quarter, Turner was named the lead builder for Republic FC's new 12,000-seat stadium in downtown Sacramento. In addition, a Turner joint venture was selected for the first phase of a USD 3.7 billion convention center project as part of a multibillion-dollar investment in the future of downtown Dallas. Let me now briefly turn into capital allocation, a key pillar of the group's strategy. In January, HOCHTIEF closed the approximately EUR 400 million for the acquisition of Dornan, the rapidly growing advanced tech engineering business, headquartered in Ireland. This acquisition is a major milestone, which will enable the group to accelerate Turner's European expansion strategy. Abertis, where HOCHTIEF holds a 20% stake, announced earlier this year that it would acquire a majority stake of the A-63 highway in France, a strategic corridor between Spain and Northern Europe. Investment in a concession with 26 years of remaining life enhances Abertis' portfolio duration and financial strength. And we continue to develop and invest equity in greenfield infrastructure projects in strategic growth markets, where we see significant value creation opportunities. In Australia, for example, we're further leveraging the group's capability and leadership position in data centers after the acquisition last year of a site to develop a data center with 200-megawatt capacity. CIMIC also is investing in and developing renewable assets, transmission lines, grid enablement infrastructure and battery energy storage systems. And in Europe, we continue investing in core infrastructure via PPPs as highlighted by the Dutch highway project win I mentioned earlier. Overall, at the end of June '25, we had committed equity investments of close to EUR 800 million, of which over EUR 400 million are in strategic growth markets including data centers, renewables, battery energy storage systems, electric vehicle charge networks and critical metals. The group's focus on environmental, social and governance priorities remain on track. On this front, it is notable that HOCHTIEF has been awarded prime status for its ESG performance and achievements by the ISS, international ESG consultant and rating agency. So let me wrap up. HOCHTIEF's H1 '25 results show an excellent performance with an 18% increase in operational net profit, at the top end of our guidance, and backed by strong cash conversion. New orders have a strong increase, up 26% FX adjusted to over EUR 26 billion with a period-end order book of EUR 69 billion, up 15% year-on-year and with over 85% of this backlog lower risk in nature. And we're increasingly harnessing our geographical footprint and engineering know-how on a group-wide basis to continue leveraging our competitive strengths and delivering on HOCHTIEF's group strategy with our growth trajectory underpinned by a solid balance sheet. Looking forward, we continue to deliver on our strategy by focusing on the strategic growth markets we have identified. HOCHTIEF is increasing its presence in the value chains by equity investments, and we're expanding our opportunities to create value in markets where we have leading positions. We reaffirm our '25 guidance to achieve an operational net profit of between EUR 680 million and EUR 730 million, an increase of up to 17% year-on-year. Thanks, everyone, for listening and happy now to take questions.
Operator: [Operator Instructions] And the first question comes from Luis Prieto from Kepler Cheuvreux.
Luis Prieto: Luis Prieto here. I have three quick questions, if I may. The first one is if we should expect any acquisitions similar to Dornan in Europe in the near future. And in this respect, if you have any comments on press reports on potential interest in defense investments, I would assume both ACS and HOCHTIEF levels, if there's anything to it. The second question is if you can give us an idea of what sort of land investment there could be at HOCHTIEF level for data center development, if any? And the third one is taking advantage of Juan, you've been here, could you give us an idea, ACS' view on the remaining free float of HOCHTIEF at the moment?
Juan Santamaria Cases: Thank you, Luis. So starting with Dornan. I mean, certainly, Dornan has been a very, very good acquisition for us, for HOCHTIEF, and for Turner. And not only strategically because it's giving us a very strong performance in Europe and the potential for Turner's expansion in Europe but also because financially, the sales in the first half of EUR 642 million of Dornan is -- I mean, it's almost double last year. So it's developing very, very well, and I think that it's going to develop even better. So obviously, when you look then at the acquisitions we did previous years, especially all the bolt-on acquisitions on critical metals, remember Novopro, Prudentia, MinSol or Sedgman, that has given us -- it's a change of game, right? If you look at what I just went through in my presentation, you can see that through Sedgman, which is our engineering, critical metals and natural resources processing plants has gone from almost a few years ago, doing coal to right now pretty much working on all kind of critical metals from cobalt to copper to gold to lithium to rare earths, uranium, I mean it's very, very well diversified. And more importantly, from working almost all in Australia to working all over the world, right? So we're in Americas, in Europe, in Asia Pacific, in Australia, and that will continue growing. So in summary, our investments are working very well for the group, right? So yes, I mean, we're looking at other possibilities. Yes, our goal continues being having energy, industrial, high-tech, digital, engineering and construction capabilities in all geographies, and we continue analyzing what we can grow organically and what do we need inorganically to enforce the group. So at this stage, we haven't identified any objectives. But certainly, we see that there is value in continue pursuing our strategy because it's being paid off. In terms of land investment at HOCHTIEF level, you see the edge strategy that we are following. So we are running right now 5 edge low latency data centers across Europe, and we started in Germany, but we are moving forward Europe and potentially North America and Asia Pacific. So that's one strategy. And then you saw, for example, the project in Australia, where there was an acquisition last year, and we've been developing. But at this stage, HOCHTIEF is not pursuing further big land plots opportunities in data center space. And, yes, it's at the end of day are small land plots. And then in terms of ACS view of the free float of HOCHTIEF, as I always said, we will be opportunistic. That's all what I can share about that from an ACS perspective and changing hat for a minute.
Operator: And the next question comes from Filipe Leite from CaixaBank BPI.
Filipe Martins Leite: I have three questions, if I may. The first one is actually a clarification on tax because tax rate in this quarter was so high, close to 30% when in first quarter, it was just close to 20%. If you can explain the reason for this significant increase in tax rate. Second question on CIMIC. And because if we exclude Thiess, the sales remain flat both in first quarter and second quarter. And if you can clarify the reasons for CIMIC, ex-Thiess, not growing this year and your expectations for the remaining of the year? And last one on Thiess put option. Just if you can give us an update on the agreement and when should we expect the acquisition of the remaining stake, if it could happen this year or early next year.
Juan Santamaria Cases: Okay, Filipe. So on the tax, it's just quarter variation. So nothing in particular. In the case of CIMIC ex-Thiess, what we are seeing in Australia is that there is a big wave of energy projects, including transmission lines, substations, including -- I mean, renewables including projects around gas, LNG. So we're seeing a lot of that coming into the pipeline. But on the other side, we've been in the last 2 years because of change in elections, because of discussions around that, that a lot of the -- I mean, those projects have been delayed and a lot of the civil projects are -- have been unwinded, right, and without a renewal. So all of that is stopping, in our opinion, Australia growth momentarily, but we remain comfortable. It's also true that, that situation of growth in the market has been affecting us not just in terms of the backlog, but in terms of unwinding of some of the old projects and not being able to replace with new ones. And also as we -- because of our strategy to go for low-risk contracts, we haven't been going to a lot of EPCs or big design deals. So that's why you see Australia in a situation where some of the cash flow is unwinding and some of the growth is not happening. But I believe that it's going to be temporary. On the put option, at this stage, I can only speculate, but if I had to speculate, I will believe that the put option will be exercised by the end of '26, which is the contract period, and probably to be effective at the beginning of '27.
Operator: And the next question comes from Graham Hunt from Jefferies.
Graham Hunt: I'll ask three, if that's okay. First one just on Dornan and the European data center outlook. The acquisition, as you say, has been extremely good for HOCHTIEF. I think originally, you were discussing around EUR 20 billion pipeline of data centers that was visible to you. Has that outlook changed, improved? How are you seeing that market today given the performance has been so good? Second question, a bit longer term on data centers. You spoke to 20% growth annually out to 2030 in sort of the overall market. But my understanding, which is a basic one, but this is also comes with a bit of a shift towards more of the inferencing demand from the hyperscalers away from training. And I just wondered if you had any thoughts on does that change the economics at all from these projects perspective for Turner and the HOCHTIEF group? And then third question, a straightforward one. You maintained your full year guidance, but the half year obviously was right at the top end of that. So maybe just talk through your thinking there in terms of how you're seeing second half and what you're holding back a little bit, perhaps being conservative.
Juan Santamaria Cases: Okay. Thank you, Graham. So starting with Dornan. So let me talk in general about data center market, right? So the data center market continues to grow significantly. And it's not just that when you add up all the hyperscalers and all the clients and all the investments announced, you get up to pretty much the 62 gigawatt capacity right now to 257, 260, even 300 gigawatts depending what you include in the announcement in the next 10 years. And this is around USD 2 trillion investment. Now a big part of that is in North America, but a big part of that is in Europe. In Europe, what we're seeing is -- so in general, first is that the pipeline continues to be big. And second, we are not seeing a change in the metrics because hyperscalers move from one type of data center to a different type of data center. So that would be same. When we get into the EUR 20 billion that we announced in Europe, every time we're talking about EUR 20 billion, it's not just data centers, right? It's data centers. It's a lot of industrial, manufacturing, biopharma projects that require mechanical expertise in advanced buildings as Turner is used to perform. And we believe that, that's growing significantly even above the EUR 20 billion. So we are very confident in Europe in general on Dornan but we're also very confident about the German market for HOCHTIEF infrastructure. I mean we are still working around the EUR 500 billion announcement and -- or the EUR 800 billion if you take into consideration everything, we're still trying to figure out specific projects. However, seeing that, I mean, recently, we have doubled our backlog in Germany, and the prospects are very good. We see a lot of investment in Germany, and we want to make sure that we are prepared to capture a lot of that growth. And then on the guidance. You saw that, yes, we're in the top end of our guidance, and we're aware that the market consensus for the end of the year is that we remain on the top end of the guidance. The uncertainty we have right now is FX, right? FX ended in U.S. dollar, euro ended in $1.17. And the question is what's going to happen. Is it going to continue [indiscernible] which is our potential assumption. But -- so that's why we prefer to be cautious. We prefer to continuing the guidance. We are comfortable at this stage with where we are. But let's monitor the FX before we do anything. And just to add, I mean, we're expecting this strong performance to continue in the business, by the way. Turner will continue -- we see very good quarters and years ahead of us, and we see we're optimistic about Europe. And we also believe that the Australian situation will improve as soon as all the synergy and big jobs will start coming to life.
Operator: And the next question comes from Nicolas Mora from Morgan Stanley.
Nicolas J. Mora: Just coming back on the data center theme, you stated that the order intake at Turner had doubled over the period. So I suspect it's at the first half, you're booking the order intake in Q2 at right around just shy of $5 billion, if I'm correct? Just would like a confirmation there. I mean it looks like a huge step-up from even what we saw in Q1. And number two, outside of data centers, what are you seeing in the U.S. nonresidential market? I mean there's ample debate in the street as to whether things are improving or worsening. So what are you seeing in your core verticals? Just to help us understand a little bit what's ahead of you considering you have 9 to 12 months visibility? And just last one on CIMIC. When we look at the projects winding down and the order intake. It still looks there is a bit of a cliff fall coming into '26. Would you say today that bar any large projects CIMIC will continue to struggle into next year? Just trying to understand a bit where the -- how to calibrate this given the model to next year.
Juan Santamaria Cases: Thank you, Nicolas. So let me start with the data centers in general and the rest of North America. So in data center, there's two things happening. The first one is what I explained before, market is booming. But the second one is projects are more complex, more complex in terms of size, in terms of gigawatts, in terms of energy requirements, in terms of cooling systems, in terms of energy, in terms of logistics, in terms of they're in remote areas because they are bigger. And the bigger, larger and complex they get, the better for firms like Turner or for Leighton Asia, for UGL or for HOCHTIEF, basically, right? And that's why we are -- that continues being a good market for us, where we can continue providing value. And that's why when you look at the data center, backlog in the first half of 25%, right now, it represents 32% of Turner. And yes, it's a step up, but we believe that it will continue to grow, right? It's -- the prospects are very good. But when you look at overall North America in Turner, we are seeing improvements in a lot of different areas, not data centers. So in biopharma, for example, in the order backlog, it's pretty much have increased versus '25 by 100% or in new orders 285%. When you look at the industrial and manufacturing market, it's growing at 16% and I'm just referring to the U.S. In the education market, it's increasing 13%. In the case of sports, it's increasing 12%. But in the hotels and our commercial building is the order -- in the orders are growing 100%, right? So we continue being bullish in North American market. The other thing that I would say about the North American market is we're expecting to see the results of the beautiful bill that is being published, basically on the extent of tax, but there's a potential as a consequence of the bill, a reduction of tax rates. And that would have a very direct benefit in internal and therefore, HOCHTIEF. So we continue being very, very bullish, and we are very comfortable with the North American market. Although, as I said before, Germany, we're expecting an important growth in Germany. And now let's move into Australia. So I mean, there's a lot of things, and I said part of that in -- talking about CIMIC, right? And before I spoke about energy projects, civil projects, but I would add one thing. This has been underperforming for the last 2 years. And this has been underperformed for the last 2 years, and this is not because of operational issues. This is basically natural resources, commodity pricing. This is about exports. So it's a macro thing, but we're seeing that recovery. There was a very -- I mean, a bad 2024, a bad Q1 2025, and we -- the prospects are good going forward with good prospects for 2026. So that's on this, which is an important part of CIMIC. We see good evolution in Asia, very good evolution in Asia that will continue in '26. UGL as soon as -- right now, it's steady, but it's steady not for a long time because as soon as the energy projects will go up and then CPB, which is the one suffering the unwindings, I mean, we expect to, hopefully, to finish the three projects right now being unwound in '25 and beginning of '26 and therefore, should be -- I wouldn't say that it's going to grow, but it's going to be steady, right, versus '25 on the P&L side and more stable on the cash. So that's what I would say about CIMIC. But it's not that there is any underlying problem. We have one job, M6, which is stopped. I mean, that's the one that I would mention. And we are talking to the client about different ways to sort out the underground conditions, that's the M6 in New South Wales, Australia. Right now, that job is stopped, but besides that project, the rest is the unwinding typical at the end of the -- of the end of the works.
Operator: And the next question comes from Alvaro Lenze from Alantra Equities.
Alvaro Lenze Julia: Just a couple. The first one would be on how concerned are you on execution risk with all the growth you are seeing in Turner? I don't know if you have any capacity constraints or whether you see the ceiling to continue to taking in new orders? And also, you mentioned that projects are now becoming more complex in terms of size and cooling and all the other stuff. I don't know if that represents an additional execution risk. And my second question would be if you could run us very quickly on the FX exposure and not just on the P&L, but also on the balance sheet, how matched are your debt balances with your business exposure.
Juan Santamaria Cases: Okay. So when -- I mean when I talk about complex projects, I always say in a positive way, right? For us, complex means larger and for us, larger is an opportunity. And the more commoditized a job, the more we face the risk of things going to Tier 2s and Tier 3s, the more bigger and complex, the better chances it comes to a firm like us. So from that perspective, it's a positive. Now execution risk, I mean, we are not concerned about execution risk. One of our advantages, and this is what -- I mean -- and this is not just in the U.S., but in general, is to be able to capture -- I mean, and to mobilize people and to mobilize engineering resources. And that's why the big jobs when they are really, really big, and I will put the example in the Louisiana job, the Meta job in Louisiana, which is huge, a huge percentage in equivalent terms as Manhattan Island in the middle of Louisiana. Those jobs require large or a lot of work in terms of logistics and mobilization. And that's where we can make a difference, and we can generate value. So from that perspective, -- so from that perspective, we are very, very comfortable. So now the other thing -- so in other words, I mean, we are not concerned about the execution risk. On the contrary, the other thing is that these jobs take a long time to develop. So once we -- when we announce a project, typically we've been 1.5 years working on the engineering design, mobilization people with the clients, right? They are very long in the making, and there's a lot of jobs that we are right now on that engineering phase and design phase and mobilize -- and working on potential resources to mobilize before they come to us. That's why typically we do have a long-term visibility about what's coming next for us. And that's why when I say we're comfortable. It's not just because of macro fears, it's because we know what we are currently working with our clients that eventually, we will end up in signing a contract, right? So we're not concerned with execution, and we are comfortable with the pipeline. When it comes to FX, I mean, obviously, again, we don't want to change guidance because we want to see how it FX evolves. But the business is going to continue performing, and what I can say as a minimum is that we're comfortable that any FX continued deterioration is going to be offset at large by the overperforming of the business. How much? Well, it depends on how much the FX goes, right? And that's where I want to be careful not to speculate, right, or to give numbers. But certainly, the business is going very well, and we believe that we can offset the FX. We will look at the FX before we can announce anything different.
Alvaro Lenze Julia: And just a quick follow-up in terms of capacity. Do you have any ceiling in terms of -- I don't know if you have any bottlenecks in terms of talent acquisition, especially with the specificity of the large projects that you are executing? Are you facing any bottlenecks there? Or you could continue to increase your order intake from current levels?
Juan Santamaria Cases: We are good. And I mean just to give you an example in the U.S. In the U.S., we have presence in 47 states with average of 20 offices per state. So we are very, very much mobilizing in the states. But in general, throughout the scope, and this is one of our biggest advantages, right? I mean -- and I open parenthesis because this is not so much related to your question. But one of the key -- one of the biggest advantages and strength that we do have about the business is our global presence, right? I mean what I just said on the 47 states in the U.S. and 20 offices per state, our presence in Europe, our presence in Asia Pacific from India to Hong Kong, our presence in Australia, New Zealand, our assets in South America, that's what gives a lot of confidence to our clients because they're all global. Hyperscalers are global, semiconductor companies are global, battery companies are global, the big industrial partners are global, defense is global, et cetera, et cetera. So that's why we provide value. And that's why we are so much focused on increasing the value- added our knowledge, our engineering capabilities, our systems, AI, to make sure that not just with our global presence but also with our knowledge and systems and engineering capabilities, we can serve our clients. But the big advantage we have is exactly that, that we can deliver, and it comes back to your question about execution, that we can deliver and mobilize people in a lot of parts in the world. And it usually -- and typically, we have time to do it, right, because the project during the design takes time and we can use that time to deliver. So answering your question, we're good with execution at this stage.
Operator: [Operator Instructions] So it seems there are no further questions. So I would now like to turn the conference back over to the company for any closing remarks.
Juan Santamaria Cases: Thank you so much, everyone. Once again, thank you for your time, your questions. And if you have any questions that have not been answered, please give us a call. We'll always be happy to help. Thanks, again.
Operator: Ladies and gentleman, the conference is now concluded. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.